Operator: Ladies and gentlemen, thank you for standing by. Welcome to Best Buy's Conference Call for the First Quarter of Fiscal 2013. [Operator Instructions] As a reminder, this call is being recorded for playback and will be available by 12 p.m. Eastern Time today. [Operator Instructions] I would now like to turn the conference over to Bill Seymour, Vice President of Investor Relations. Please go ahead, sir.
Bill Seymour: Good morning, and thank you for joining us on our fiscal first quarter 2013 conference call. We have 2 speakers today: Mike Mikan, our Interim CEO; and Jim Muehlbauer, our CFO. And after our prepared remarks, we'll be happy to take Q&A. A few items before we get started. As usual, the media are participating in this call in a listen-only mode. Let me remind you that comments made by me or by others representing Best Buy may contain forward-looking statements, which are subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management's expectations. Please note that our reported results this morning include non-GAAP financial measures. These results should not be confused with the GAAP numbers we reported this morning in our earnings release or with the GAAP numbers we will report in our 10-Q. For GAAP to non-GAAP reconciliations of the reported to adjusted results and guidance, please refer to the supplemental schedules in this morning's news release. With that, now I'd like to turn the call over to Mike.
George Mikan: Good morning. I'm pleased to be here on my first Best Buy earnings call. This is an amazing opportunity, and I'm excited to be part of this team. Before we begin with the details of the call today, let me begin by addressing the difficult events of the last 6 weeks. As I'm sure you saw, the audit committee of the Best Buy board completed its investigation into my predecessor, who resigned last month. The results have been disclosed. And by making that information public, the board kept a promise to resolve this matter openly and with full transparency for shareholders, for employees and for our customers. The board also announced that Dick Schulze will be stepping down as Chairman, effective at the Annual Meeting in June. Let me take a moment to acknowledge Dick and what he means to this great organization. He built Best Buy, with hard work and vision, into a $50 billion company with nearly 170,000 employees across the world. And I'm determined to honor his legacy and what he created. In his new role as Chairman Emeritus, his institutional knowledge will be invaluable. I believe the company is responding well to these changes. I want to assure everyone that I'm focused on running the business, and I'm developing a plan for the future. It is my belief that Best Buy is a highly undervalued asset, with an excellent opportunity to improve returns. I'll let Jim cover the first quarter review in greater depth. Overall, results are within our expectations, and we are maintaining our guidance for the year. Now for the balance of my time today, I'm going to cover 2 main topics: first, my observations after 6 weeks in my new role; and second, the things I'll be focused on over the next few months. Let me start with some macro trends that we see in the market today. We are operating in an economy without boundaries, one that has been transformed by the digital revolution and is more open and transparent than ever before. Neither consumers nor companies are defined by the roles and limitations that seemed so clear just a decade or so ago. Armed with information and choice, consumers shop differently today. The annual rate of growth of e-commerce transactions is far outstripping traditional retail sales. Consumers have needs and preferences that are new and changing rapidly. Today, they need virtual products and services as much, if not more, than they need hardware. And businesses are under pressure to respond to those changes; to connect with consumers, whether they are online or in the store; and to meet these new needs and preferences. The changes have created risks and dislocations. Some businesses have not survived, but those changes have also opened the door to new efficiencies and opportunities. We certainly have seen those forces at work in the market for digital products, where competition for the attention of consumers is strong and growing stronger. This new generation of consumers is empowered, educated and social. They have many options when browsing for tablets, smartphones and other devices that connect us. And they have a fast-growing need and appetite for services and accessories, both tangible and virtual, that help consumers take full ownership of their technology. Not that long ago, Best Buy was the authority in this market. Our stores wowed consumers. They were places where innovation met convenience with a broad assortment of products and knowledgeable people who knew how to make things work. Best Buy provided a unique customer experience that gave us a clear edge over competitors. Not anymore. Today's marketplace is different. From my perspective, it is a marketplace we weren't prepared for. Best Buy's customer experience is no longer unique as it once was, and it is no longer a distinct competitive advantage. To be sure, Best Buy still has numerous advantages. We have good, hard-working people. The company has a global footprint and deep relationships with vendors. We are the market leader in consumer electronics, and we still have ambition and pride. So make no mistake: we will reclaim that place of authority. We will reclaim that unique experience with customers. I believe an essential part of moving this company forward is acknowledging the truth about where we are. Best Buy is not performing up to its past standards. We need to change substantially. We need to change who we are and what we do and how we relate to customers and shareholders. After 6 weeks on the job, I would say Best Buy is in a turnaround. This assessment reflects the reality of the moment. It does not mean we are in any danger of going out of business. It does mean that bold actions are required. Tough decisions will be made. We must take a fresh look at our investments and the entire business, and I can assure you there will be no sacred cows. As we look to the next few months, we are committed to implementing the strategic priorities laid out at the end of the fourth quarter. But for a company in turnaround, those priorities are just the first phase of the changes to come. I am working with the senior leadership team to create a long-term plan that recognizes that our marketplace is no longer defined by distinct boundaries. That plan will provide a path for sustained, profitable returns in the years ahead and position Best Buy to compete in a much broader marketplace, a marketplace that covers everything from innovative home entertainment systems and appliances to the virtual products and services needed to tap the full potential of mobile devices. That plan will help us connect with many more customers than we do today and build much deeper relationships with them. We'll expect to lay out the details in a few months. Let me say, as a starting point, that I envision a Best Buy that is more relevant, more intelligent and more nimble. These are the guiding concepts that are shaping our turnaround plan. First, to compete in a broader market, Best Buy must become more relevant to consumers, seriously relevant. We cannot be seen just as a hardware company. We must be relevant in the much larger and constantly evolving market of services that is driven by technology innovation and broader customer needs. And we must begin building those deeper relationships with customers. We must meet people where they are and not expect them to come to us. That means we must have a world-class e-commerce capability. We are continuing to build a first-rate team to help Best Buy meet that need, and I expect to have more to say about that real soon. A big part of becoming more relevant begins with our people. Best Buy has always been a people-based company. We need to build on that. We need to develop and support our people even more. We need to provide training to bolster our expertise in technology and keep us at the forefront of new products and trends. We need to raise the bar for everyone, from the Blue Shirts to Geek Squad to those at the very top of the company, including myself. As a team, we need to make technology work for people. That means solving their problems and educating them on what's really possible. Right now, we aren't even close to good enough. We have the financial strength to make these investments, and I intend to see that we do. Better trained, better equipped team members are essential to the success of our plan to compete in broader markets. They are essential to connecting with more customers and building deeper relationships with them. The strength of our employee base sets Best Buy apart from its competitors. A great example of where we are already asserting relevance can be seen in the new store model we are in the process of unveiling. We expect the Blue Shirts and Geek Squad agents who will staff those stores will speak with authority about technology. Their mandate will be to shift the customer expectation from repair, our traditional Geek Squad offering, to one of relationship. Another example is the new program we just launched to provide millions of AARP members access to Geek Squad services. It's a comprehensive subscription model that supports AARP members with their personal technology through access to Geek Squad agents by phone, online and in-store. I can't think of a better positioned company to offer this type of end-to-end solution, which delivers significant value for customers by meeting 100% of their needs. These are just a couple of examples of where we are moving to improve the customer experience, improvements that move us from a transactions-based experience to a solutions-based experience. Second, Best Buy must become more intelligent and more strategic about using data, coupled with technology, to build long-term relationships with customers. Before I joined Best Buy, I worked at a company that was adept at using data to drive business decisions and shape customer relationships. At Best Buy, we need to do the same. A good example of what I envision is the way our Best Buy Mobile team stays connected with customers. Best Buy Mobile uses technology and information about their needs to ensure they come back to Best Buy for follow-up assistance and upgrades. We will do more of this. Much more. And dive much deeper. I'm talking about using analytical tools to improve business processes and inventory management, as well as predict consumer behavior. We have a wealth of information at our fingertips. We have to use it to figure out what our customers want, not just today, but what they will want tomorrow. As a solutions-based organization, we must offer a personal experience to our customer. We must anticipate the needs of our customer and meet them, not partially as happens all too often today at Best Buy, but fully. And last, Best Buy must become more nimble. We have to adapt to the new realities of the marketplace. That means being faster, more efficient and more productive. We have to anticipate changes, not just react to them, and lead the way with innovative products and services. We need to focus on being better, not just bigger. We will rightsize the company to better meet customers wherever they want, whenever they want, in the neighborhood store or online with a strengthened e-commerce capability that opens markets at home and abroad. My goal is to continue to shrink the company's physical footprint and substantially reduce our cost structure. Total square footage will go down as we make decisions about the best use of space and resources. But as we assess opportunities, our total storefronts may stay the same or even grow somewhat, though with a smaller and more focused presence. We've had success with this model in some of our pilot markets, where we've been able to drive up revenue per square foot while reducing operating costs. That is the path forward. Best Buy needs to be more focused and lean. Our intention is to grow returns from existing assets and invest in those assets to deliver outsized returns. Another part of being nimble is making sure that we use our size to our full advantage. Best Buy operates around the world. But big is only better if we use our size to improve efficiency and productivity across all aspects of the company, inside and out. Big is only better if we use our size to be the very best at what we do. And yes, that includes making sure our customers truly get the best buy when they come to us. So let me be clear. What I've outlined here is not a strategy. It is the foundation upon which we will build that long-term strategy. We do not have all the answers today, and I know that is going to be frustrating for some as it is for me. We will come out with the specifics later this summer. We plan to deliver a multiyear blueprint designed to succeed in a marketplace where boundaries have disappeared and where competition for consumer attention is fierce, but where Best Buy also has opportunities to excel. It is essential that we invest in our core strengths and that we become more relevant, intelligent and nimble. Doing so will make us stronger and better able to adapt to change. Doing so will make sure Best Buy is never caught flat-footed again by a marketplace that is evolving rapidly and will continue to do so. We have a lot of work to do. One part of that is rebuilding relationships with investors. That is an important priority and one I will personally address. As we move forward, Best Buy will focus on improving margins and continuing to return cash back to shareholders. And we are moving from a big-box store growth model to a return on investment orientation, as is appropriate for a retailer at our stage. I know there are skeptics out there. I see the share price. But I don't see the company through the same lens. I see the reality of the moment and I am realistic about the challenges. But I also see the opportunity, and I am confident we will prove the skeptics wrong. I will now turn it over to Jim.
James L. Muehlbauer: Thanks, Mike. I want to begin today by quickly highlighting the actions we took in Q1 on several of the strategic priorities we discussed on our last call. As Mike said, these are just first steps in a series of changes to come. We have begun the process to improve our U.S. store portfolio and dramatically reduce our big box square footage through the closure of 41 underperforming stores of the total of 50 planned for the year; starting the construction process for our new store formats in the Twin Cities and San Antonio test markets, which emphasize connections, services and an improved customer experience with many locations adding Pacific Kitchen and home and Magnolia Design Centers stores within a store; and the continued build out of our small-box Best Buy Mobile stand-alone store network with 43 additional openings in Q1. We executed cost reductions in our corporate and support areas consistent with the $800 million cost reduction plan. We also notified our best customers, Reward Zone Silver members, of the enhanced benefits we will now provide them, including free expedited shipping, 60-day price matching and returns, and a free home visit by our Geek Squad to help them get the most from their technology. In short, we are aggressively executing our plan to improve the business. Given that we just spoke with you at the end of March on our fourth quarter call, there are not material changes in the key business trends we discussed at that time. Our Q1 results finished in line with our expectations, and we remain on track to deliver our annual plan. Let's review some of the key drivers in the quarter and briefly discuss our current view of the balance of the year. From a revenue and comp sales perspective, the first quarter finished in line with what we had indicated in the Q4 call. The Domestic segment comp sales in Q1 included very strong growth from tablets, led by the successful launch of the new iPad, mobile phones, eReaders and appliances. This growth was more than offset by industry-wide weakness in categories including notebooks, gaming, digital imaging and televisions. When compared to the comp sales results reported in Q4 of down 2.2%, the Domestic business comps of down 3.7% were impacted primarily by lower notebook comps and eReaders growth slowing to mid-double digits rather than low triple-digit growth. Online sales continue to delivered growth during Q1, increasing 20%, led by the extra week, traffic growth and an increase in conversion rate. Q1 sales in the International segment were weak and weighed much more on the enterprise comp sales than they did in Q4. Before getting into the details, let me step back a bit and say a few things about our International business. We have taken dramatic steps to improve returns from our International segment the last few years. Our International portfolio has several businesses which offer a great deal of opportunity. International had a very difficult Q1, but we believe this will be the weakest quarter of the year. Given some of the macro trends around the world, we anticipated this performance and included these trends in our annual guidance. Importantly, we expect to see improved results from our International segment for the balance of the year. Now on to some of the details for International. As we discussed in the Q4 call, Five Star experienced a significant decline in comps in Q1. Comp sales were down 28%. The weakness was driven by the expiration of government-sponsored programs in China for appliances and other products at the end of calendar 2011 and a general slowdown in the economy. Appliances represent a significant part of the sales mix of Five Star. The lower sales results at Five Star were in line with what other CE competitors experienced in China in the first quarter. We expect comps in China to improve as the year progresses. This is due to the accelerating growth of mobile phones, strengthening appliance sales and improved Golden Week performance. In Canada, a high single-digit comp decline was a result of similar trends as we've seen in the U.S., while growth in tablets and mobile phones had less of a positive impact on total comps. In Europe, our sales were negatively impacted by 2 major factors. In the U.K., our largest market, growth in the sale of postpaid phones were offset by a very weak prepaid phone market. The weakness in prepaid was driven by regulatory changes and lower consumer demand in a very difficult macro environment. Our business in France, Spain and other European markets also faced lower consumer demand and a much more challenging competitive environment. Turning to gross margins for the quarter. In the Domestic segment, gross profit dollars increased 4%, including the extra week, while the rate declined 30 basis points. The rate decline was driven by a more favorable mix from strength in mobile phones and lower gaming sales, which was more than offset by lower volume of computer repairs and the continued shift in service revenue from onetime transactions to ongoing tech support memberships. The rate pressure related to the shift to tech support memberships is the same effect we experienced last year and should begin to abate in Q2 since the program launched in late Q1 of last year. The International segment rate decline of 180 basis points resulted from lower gross margins in our Europe business, driven by postpaid phones, which experienced a more competitive pricing environment given the macro challenges, and increased mix of lower margin smartphones. SG&A spending in Q1 increased 2%. Excluding the extra week that occurred during the first quarter, total company SG&A spending was down versus the prior year, driven by our cost reduction initiatives and lower volume-related costs and advertising. Our SG&A spending and cost reduction programs are on track with our plans for the year. One item to be aware of, as you look at our year-over-year SG&A spending at the Domestic and International segment level, is the elimination of the Best Buy Mobile profit share payment in FY '13. In the past, while this payment did not impact total company SG&A, it did result in an increase to Domestic SG&A and a decrease to International SG&A. This is worth noting as you look at the year-over-year segment result in FY '13. The Best Buy Mobile payment in Q1 of last year was $29 million. When excluding the impact of the Mobile profit-share payment from last year's International operating income for a more accurate comparison, the year-over-year decline in adjusted operating income of $126 million becomes $97 million. To recap, this decline in International operating income was primarily a function of the following: lower connections and margin pressure from an exceptionally difficult macro and competitive environment in Europe; weak sales in Five Star due to the expiration of government-sponsored programs; and to a lesser extent, lower revenue in Canada. Looking forward to the balance of the year, we are maintaining our annual guidance. Comparable store sales are expected to modestly improve as the year progresses, primarily from stronger product launches in mobile phones; improved notebook sales, fueled by the introduction of Windows 8 and Apple's new operating system later in the year; and improvements expected in Five Star. As the year progresses, we continue to expect improved year-over-year gross profit rate performance, driven by growth in connections and services, continued execution of our cost reduction initiatives and the eased year-over-year comparisons for postpaid phones in Europe. Consistent with our plan, our full year SG&A, including the 53rd week and a more normalized incentive compensation, is expected to grow approximately 3%. Excluding the extra week and the normalized incentive compensation, full year spending is expected to be down about 1%. Importantly, we continue to plan for $750 million to $1 billion of share repurchases throughout fiscal 2013. To wrap up, we are intensely focused on dramatically improving our performance during this turnaround period. During Q1, we began to take action on the initiatives we laid out for the year and delivered our Q1 plan. Most importantly, as Mike stated at the beginning of the call, we are creating a new long-term plan designed to make Best Buy more relevant with customers and position the company for sustained, profitable returns for shareholders in the years ahead. Thank you and, operator, we are ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Lasser with UBS.
Michael Lasser - UBS Investment Bank, Research Division: Mike, welcome to the hot seat, I guess. 2 quick questions for you. How do you prioritize some of the near-term challenges facing the company such as heavy executive turnover, along with longer-term uncertainties such as price competition, transparency and uncertain product cycles?
George Mikan: Well, thank you, Michael. And first, let me say thanks, everyone. Good morning. It's a pleasure to finally get the opportunity to speak with all of you and I'm looking forward to sharing our short-term plans with you and our long-term plan as we move the company forward. Michael, I appreciate the question. I'm going to try to focus on -- hopefully, I'll answer your question by focusing on what we're prioritizing today over the short term. And then I'll talk a little bit about the long-term plan as a follow on. Our short-term priorities as we face our challenges, they're instructed by the time period that we're in. As I stated, we're in a turnaround. We're making tough decisions. We need to take bold actions. We're evaluating the strength and weaknesses of the business with an eyes-wide-open mentality. And as I said, there'll be no sacred cows. We're looking at investments that have been made, investments that will need to be made, and we're going to focus on those areas with the highest returns. We're prioritizing activities and initiatives and focusing on the need to haves, as opposed to the nice to haves. And last, we're looking for further areas to improve our cost structure, both over the short term, in the immediate term, as well as over the long term. So that's first. Second, frankly, we're focused on running the business, on delivering on our fiscal year '13 plan, executing on the major initiatives that we rolled out in March as a Phase I. Third, as I described earlier, we're building a long-term plan and what I'll call a blueprint for Best Buy to succeed in the evolving and ever-changing marketplace. And then last, and I think this talks a little bit about executive changes. We're looking to bring in new talent with fresh perspectives for those new areas and change initiatives that we're facing today, coupled with promoting from within. So those are the areas that we're, Michael, we're focused on today in terms of short-term priorities to deal with the challenges that we face. I recognize that's somewhat broad, but there's a lot going on. With respect to the long-term plan and balancing the different challenges over the long run, frankly, I don't want to get ahead of ourselves today. I know that's going to be frustrating for some, that we should have more specific plans, but we're building out the plan to address those challenges and we're looking forward to presenting those to you later this summer.
Michael Lasser - UBS Investment Bank, Research Division: That make sense. Let me just add one quick follow-up. You come to the role with limited direct retail experience. So how does that influence your approach to the job?
George Mikan: That's a great question and I appreciate it. Let me start by saying this. I'll concede the retail experience, the limited retail experience that I have, but we've got deep knowledge and capabilities with retail experience and, frankly, I'd say we have some of the best retail minds in the world. So I'm proud of that and I'm going to leverage that and tap into that as much as needed. I think there are other things that I can bring to the organization. One is just a clear, unbiased approach to evaluating the strengths and weaknesses of the business. A change -- and embrace changing mentality. A focus on priorities and a return -- investment returns mentality. A knowledge of a service -- building and growing a service enterprise. Leveraging data to instruct, improve business performance, as well as predict consumer behavior. Those are all the types of expenses that I have that I think I can bring to help move this company forward. But it's coupled with the team that we have and it will also be enhanced by others that we bring into the organization that are very relevant with the, I'll call it, the modern Best Buy for tomorrow.
Operator: Our next question comes from the line of Colin McGranahan with Bernstein.
Colin McGranahan - Sanford C. Bernstein & Co., LLC., Research Division: First, maybe a question for Jim. Jim, it was helpful when you were able to take the International segment operating results and kind of give us a pro forma for the Mobile. Do you think could do the same thing for Domestic and maybe pro forma it both for the Mobile and for the extra week and what Domestic performance might have looked like on kind of an apples-to-apples basis versus a 13-week Mobile reporting period last year?
James L. Muehlbauer: Yes. Sure, Colin. I'll be happy to. So as I mentioned in my prepared remarks, the profit-sharing payment for Best Buy Mobile in Q1 of last year was roughly $29 million. So from a Domestic standpoint, our Domestic results benefited in Q1 this year by roughly the equivalent amount. Similar to what we reported at the end of Q4 on the 53rd week, as you saw in our notes, we have the new fiscal year, which we incorporate the month of February once again. So it's the same 53rd-week impact that we saw in Q4. It just falls now, obviously, in our Q1, which has a bigger magnitude given the size of the quarter. But in general, if I look at what the impact of that week is, I'd call that $0.10 to $0.11 of EPS in Q1 of this year that's driven by that extra week in Q1.
Colin McGranahan - Sanford C. Bernstein & Co., LLC., Research Division: Okay. That's helpful. And then just a second quick math question and then one for Mike. Five Star, can you comment at all about what the margins and the profitability of that business look like with the negative 28% comp?
James L. Muehlbauer: Yes. Well, overall, from a macro standpoint, as we said before, that business is profitable. I mean, we're in a very luxurious position as a global retailer to have a business in China that drives profit and has that type of runway from a consumer standpoint ahead of it. So certainly, when you run a negative 28 comp in the business in an individual quarter is not -- it's not going to be an attractive outcome from a bottom line standpoint. But as we look at the balance of the year, we're still on track to deliver annual plan within Five Star and we're anticipating continued profit growth in that business. And that's with the addition of the 40 to 50 new Five Star stores we're opening this year, which obviously incur some onetime costs get those up and running. So certainly not being able to leverage the business given that 28 comp in Q1, it doesn't change our view for the year on growing that profitable and important part of our International portfolio.
Colin McGranahan - Sanford C. Bernstein & Co., LLC., Research Division: Okay. Great. That's helpful. And then finally, just, Mike, listening to your comments, it certainly sounds like you've got a great or at least an emerging vision for the business and a lot of passion and energy around making some changes. Can you address the dichotomy of Best Buy having announced this morning naming a search firm for the CEO and what you think the outcome of that might be and what kind of characteristics the company is looking for in a CEO?
George Mikan: I think it's best that I leave it up to the board and the search committee to speak to those areas and, unfortunately, they're not on the phone to speak to that, although there's been a fair amount of press. I would just say this, that I think anyone sitting in this chair would feel privileged. This is a great organization. I love the opportunities that are in front of us. I'm sure there will be a lot of candidates with great skills that could bring value to this organization. And I think the most important thing is that we find the best leader possible to lead this organization into the next phase. And I'm confident that this Board of Directors will accomplish that and they'll speak more to it and offer more information as time goes on to keep the market in check with that.
Operator: Our next question comes from the line of Matthew Fassler with Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: My question also revolves around the leadership transition and I guess there are 2 changes, one interim, one permanent, in the 2 most important governance roles in the organization. So perhaps -- well, I know the strategy for now is intact. If you could talk about how your take on the business and maybe your style differs from Brian's? And also, I know Dick will continue to play a very important role with the organization, albeit no longer as Chairman, and perhaps what impact that transition might have on the company's strategic priorities and execution.
James L. Muehlbauer: Matt, it's Jim. I don't know that I caught the first part of that question. Mike is certainly prepared to talk about kind of the difference in approach going forward. But could you just restate the first part of that question for us?
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Sorry about that. The beginning was that there is a change in 2 of the top roles of the organization, both CEO and Chairman, one interim and one presumably permanent. And the question was for Mike to differentiate his approach and perhaps style from that of Brian. And also to talk about perhaps the impact of Dick's moving off from Chairman, though he will continue to play an important role, perhaps as the board moves on with new leadership, what impact that might have on the company's strategic priorities.
George Mikan: Well, Matt, thanks for the question. I'll try to answer it as best I can. Let me start with the last part, with Dick and his future role as founder and Chairman Emeritus. As I said, Dick's knowledge of building this company and understanding how retail works and, frankly, transforming retail over the years and the intelligence of understanding the consumer and where the consumer is going and how to better relate to the consumer is invaluable to this organization. So I expect that, that will be leveraged and play a role, as I said, in the legacy of Dick over the years -- over many years to come. So I'll start with that. With respect to, I guess, comparing my style versus Brian's style, I'm not sure that I'm interested in getting into comparing to Brian per se other than to say some philosophical beliefs that I have. And I think a lot of them you would have heard that on the phone or in my earlier remarks. I focus on returns. I'm a return on investment capital individual. I know that we need to rightsize the organization, so I'm very much focused on productivity. I keep score. I'm a metrics-based individual. You'll see that in the earnings release. There are some key metrics that lay out front that are very meaningful to me as we evolve over time. And then last, my style is to take action, to take an informed point of view or get an informed point of view and take action, make decisions. So I embrace change. And those are kind of some of the philosophies or at least the way I prefer to operate and what I stand for. And I'll leave Brian's style to what Brian's style is.
Operator: Our next question comes from the line of Christopher Horvers with JPMorgan.
Christopher Horvers - JP Morgan Chase & Co, Research Division: A bit of a more granular question about the 2 market tests. As we all know, sales retention is critical given that any lost sales impacts leverages of fixed overhead cost, so perhaps you could spend some time talking about what the minimum sales retention needs to be out of the stores that you're closing for it to be profitable at the total company EBIT line, including fixed overhead and supply chain. And more specifically, how does total real estate costs -- how are they expected to change in the 2 test markets given the big box you're closing and the small box that you're adding?
James L. Muehlbauer: Yes. Chris, it's Jim. Thank you for the question. As we look at those 2 test markets, one of the things that we're doing in rolling those out is that we're planning on closing the stores in those test markets, Chris, after we finish a majority of the remodeling activities that we have in the other stores in those markets. So that as customers have new opportunities to experience our new pilot store formats, when we close those stores, they're going to a better rendering of our Best Buy business model. So we don't have detailed results yet from the closures in those specific markets. But to your question specifically, as we look at -- for instance in the Minneapolis market, we're planning through this test roughly to reduce square footage, from a big-box standpoint, 18% to 20%. So as we look at the customer transfer that's required there, we think based on the geography and the density in the Minneapolis and St. Paul market, we have an opportunity to actually get quite a high level of customer retention, which makes the economics work very, very well. I think as we learn how that process works and we learn what customer behavior is, we'll have a more informed view with how that might play out in different markets. But in general, we do not need a massive shift in customer transfer to make the economics work in our model overall. And it's going to depend store by store, which is why we specifically wanted to put whole-market tests out there, supported with a differentiated business model from the past, supported with whole-market advertising. It's really bringing those all together at once, with the differentiated customer experience, where we think we're going to get the maximum learnings.
Christopher Horvers - JP Morgan Chase & Co, Research Division: So is 30% not high? Is 50% not high? Like, what do you need to retain? And is the cost per foot of big-box versus small-box store on the rent side about the same?
James L. Muehlbauer: No. The cost per square foot on a big-box store, obviously, is much cheaper than the small-box stores given the fact that the small-box stores basically sit in line in malls. We would be thrilled to have customer retention rates in excess of 30%. We believe our number's in excess of 30%, but that's why we're running the test: to see what it actually is.
Christopher Horvers - JP Morgan Chase & Co, Research Division: Perfect. And then one follow-up question for Mike. So perhaps asked a different way, does the interim status impact your ability to make big strategic structural changes to the plan? Or maybe any conversations that you've had with the board around that topic would be appreciated.
George Mikan: I don't think so. The board, when asked to take this role on, the board authorized this management team, including myself, to take action. We don't have a day to waste, and we're going to take action. We're building a plan that will be presented to the board and ultimately brought to the marketplace, as I said, later this summer. But in the meanwhile, we're going to take action and I have no question in my mind that I'm empowered as CEO on an interim basis to make those calls and make those decisions.
Operator: Our next question comes from the line of Gary Balter with Credit Suisse.
Gary Balter - Crédit Suisse AG, Research Division: A couple of questions. One is there's no commentary on vendors and maybe it's too early to talk about it. But obviously, one of the issues that's going on is the vendors tend to distribute a little bit widely and there's been talk about this UPP pricing. Do you have any thoughts about your relationships to vendors and how you get them to play ball and stop the so-called showroom-ing aspect that's hurting Best Buy so much at this stage?
George Mikan: Well, I do. We speak a lot about our relationships with our vendors. And I think I mentioned that we believe we got strong relationships with our vendors. We have market-leading positions in most of the relevant categories in the marketplace. And we're building leading positions in other areas. So our relationships with vendors is critical, as you know, and we value them greatly. I think I'd ask Mike Vitelli to speak a little bit more on some of the specifics.
Michael A. Vitelli: Gary, it's Mike Vitelli. And as you asked this question, from the last time we were on, I would tell you that we're actually seeing an increase in vendors using unilateral pricing policies, directly related to them trying to get a strong return on the R&D investments they make in bringing out improved product performance and functionality. And we think, with our combination of stores, employees, demonstrations and our website, there's no better retail position than us to help explain those benefits, show customers what they can get out of their technology and deliver returns for both our vendors and for us as we bring these products forward.
Gary Balter - Crédit Suisse AG, Research Division: Okay. And then a more strategic question, Mike, for you. You were on the board and -- because what you spoke about today, which was like music to many of our ears, the people that have been trying to be supportive of the story and think that there's an opportunity, but you've been on the board and it seems -- we felt, many of us, that nothing was moving in the right -- or was moving too slowly in the right direction. And today, we heard like, "Hey, we're going to go forward", which is great. But what was the hang-ups, like, given you were on the board, given other people on the board probably saw the same thing, why did it take the change of leadership for this to start, for us to start hearing what we're hearing today? Why didn't the board get more impact -- have more impact previously?
George Mikan: Gary, I appreciate the question and without getting into the weeds or really looking backwards, I'm really choosing to look forward on where to move the organization. And I know the board is behind the moves that we're making in the short term here and we're starting the conversation around the long-term plans. And I'm excited about the future opportunities and I think we've got the full support of the board. And like I said, we'll be coming out with a plan that is more descriptive and specific in the months ahead. I just don't like to get ahead of ourselves right now and I hope you can appreciate that.
Operator: And our next question comes from the line of Mike Barker (sic) [Mike Baker] with Deutsche Bank.
Michael Baker - Deutsche Bank AG, Research Division: I assume that's Mike Baker at Deutsche Bank. So following up on Gary's -- I think it was Gary's question about the unilateral pricing policy. So we are starting to see, as we do our price survey, some of your pricing match Amazon's for both Samsung and Sony. What are you seeing in terms of customer response to that? Are you seeing -- I guess, the question, are you seeing an improvement in your TV sales, both in units and dollars? We know it was down, but can you compare the decline in TVs versus previous quarters? And is there a positive margin implication from the UPP as well?
Michael A. Vitelli: Mike, it's Mike Vitelli again. We are seeing -- our plan in television is in line with what we expected when we talked about earlier in the year. Units are up. ASPs are down, particularly in some of the smaller screen sizes. But the large screen sizes are growing and prices are, if you will, a bit more stable there. But it's right in line with what we expected, but it's very early. A lot of the new products are just being set. This is a time for -- we actually get to watch and see what's going to happen and set ourselves up more towards the second half. So it's a good time to be watching that.
Michael Baker - Deutsche Bank AG, Research Division: And so I think in the past, you've given some color on total TV sales: down mid-single digits, down low-single digits, et cetera. Is that something that you're willing to share this quarter and in the previous quarter?
Michael A. Vitelli: So the plan that we set for the year, because we kind of look at television on an annual basis, is that the overall revenue of the industry is going to be flat to slightly down, with units increasing and ASPs in different screen sizes changing a bit. But that's been consistent with how things are for the last several years. I would say, and we said this on the last call, that television industry for this year is very similar to what it was last year, which is a growing unit base, relatively modest price reductions and kind of a stable, flat overall revenue in the industry.
Michael Baker - Deutsche Bank AG, Research Division: Okay. Well, then if I could just follow up on that, I guess, why would you not assume that it looks better this year than last year with this UPP? And again, one last thing, if you could slide in there, is the margin implication of that as well.
Michael A. Vitelli: And, Mike, I would tell you, we'll see. What I'll tell you is what we put in our plan, was that kind of modest flatness and stability versus last year. If it improves, that would be terrific.
Operator: Our next question comes from the line of Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: Mike, I guess the question is, as you assess the overall organization, and you've only been in the seat for -- I know it hasn't been that long. When you think about this company's cost structure, how would you characterize the cost side of the business? Is it relatively lean? Is it bloated in your opinion, given kind of where you are in your phase of maturity, et cetera?
George Mikan: From my standpoint, it's high. I think there are a lot of opportunities to improve productivity and efficiency, and that's an area that we're very much focused on. Some of it is being instructed by the test pilots that we've run, that Jim was speaking to earlier. And some of it is, just looking at the metrics, that we think we can do better. And so as I stated earlier, we're going to be -- we're going to look to substantially reduce our cost structure.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: But given the fact that you operate in the industry that you do and there's constant changes and you have to keep the stores fresh, et cetera, is this a scenario where we could see something like what we've seen in maybe home improvement or some areas where you've taken these big, mature organizations and you significantly downsize the cost structure? Or is this something where you'll never get to that degree just because of the changes that are needed constantly to be implemented throughout the stores?
James L. Muehlbauer: There's 2 elements to that, Scot. There's certainly investing in our most productive stores that drive good foot traffic, high sales per square foot, and being more efficient in those, while actually taking square footage out of less productive stores that, overall, provides us a lower cost structure or actually a better customer experience in those markets. So the levers that we're pulling to take cost out are meant in one part to support better productivity in our better performing stores to drive more top line sales per square foot and more margin per square foot. So I think the lower cost structure comes from 2 elements. It comes from being more productive in our better stores, selling more. It also comes for transferring SG&A from our less productive stores. And part of the tests that we're doing in San Antonio and Minneapolis are really to emphasize both of those at the same time. So to Mike's point, we've announced a multiyear $800 million cost takeout program with an included items that are not only in SG&A, but certainly some of our costs that show up in margin, whether its transportation and other types of activities. We view those as a good start. There are more opportunities to come. And as we grow the top line in the business, we want to make sure that we're putting the same pressure on the cost structure, because the operating margins we have today in the business aren't nearly sufficient to drive the type of performance that we need for shareholders and aren't reflective of the opportunity we see in the marketplace for the Best Buy model.
George Mikan: It's Mike again. I wouldn't stop at just the store portfolio and what have you, although that's a material part of our cost structure and one that we're very much focused on and we will take action on. But there's also a lot of other areas that we're going to continue to go deeper in. We're in a turnaround. We're going to make tough decisions. The nice to haves aren't going to be in our plan. And we're going to be focused on need to haves. We're going to prioritize how we do our jobs during the day and what activities we're doing and things like that, discretionary spend and the like. All of that is being deeply scrutinized and we're going to take actions on those in the mode of the time period that we're in, and that's a turnaround.
Operator: Our last question comes from the line of Alan Rifkin with Barclays.
Alan M. Rifkin - Barclays Capital, Research Division: Mike, are the many actions that you've laid out able to be implemented before an official CEO is named? And do you think that the 6 to 9 months that you folks have said it may take you to name an official CEO maybe may delay the implementation of some of these actions?
George Mikan: Well, let me try to answer it this way, Alan. What we've described today is a blueprint for success. We're assessing the marketplace and taking a realistic stance as to where we are and how we operate in the more, I'll call it, evolved marketplace. And we're building a plan that is instructed by people that run this business every day, also bringing in other people with different experiences like Stephen Gillett and myself, that are going to bring new perspectives and we're going to put together a blueprint that we think is going to be designed for success. And that blueprint, in my view, again, one person's perspective, could be taken by any leader and built upon. I'm sure there'll be someone, if it were someone different in this chair at some point that may have differences in view, but the core of it, I suspect, will be one that will be executed upon. And I believe that a lot of the decisions leading up to that will be made and will be at least put in place to be made by the permanent leader at that point in time. So I'd call it a blueprint and one that we think we can build on over time.
Alan M. Rifkin - Barclays Capital, Research Division: Okay. And one follow-up, if I may. You said that, obviously, you seek to continue to return cash back to shareholders. Given the likely capital-intensive nature of engineering this plan, are you still committed to buying back stock and possibly raising the dividend over the short term as this plan is laid out? Or is there a greater desire to preserve capital?
George Mikan: I -- from -- in terms of buying our shares back, we continue to -- we're going to continue to target buying the amount that we said, $750 million to $1 billion this year. And with respect to the dividend, as we get our strategy put in place, we'll revisit that and come to the marketplace with our plans at that point in time.
Operator: Thank you. Ladies and gentlemen, this does conclude Best Buy's Conference Call for the First Quarter of Fiscal 2013. Thank you for your participation, and you may now disconnect.